Operator: Good day and welcome to the Q1 2023 Berry Global Group Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker Mr. Dustin Stilwell. Please go ahead.
Dustin Stilwell: Thank you and good morning, everyone. Welcome to Berry's first fiscal quarter 2023 earnings call. Throughout this call we will refer to the first fiscal quarter as the December 2022 quarter. Before we begin our call, I would like to mention that on our website we have provided a slide presentation to help guide our discussion this morning. After today's call a replay will also be available on our website at berryglobal.com under our Investor Relations section. Joining me from the company, I have Berry's, Chief Executive Officer, Tom Salmon; and Chief Financial Officer, Mark Miles. Following Tom and Mark's comments today, we will have a question-and-answer session. In order to allow everyone the opportunity to participate, we do ask that you limit yourself to one question at a time with a brief follow-up and then fall back into the queue for any additional questions. As referenced on Slide 2, during this call, we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and in investor presentation on our website. Please note that in our commentary today and within our presentation, when we compare our results to the prior year quarter or full-year, we have adjusted to present on a constant currency basis and remove the impact of divested businesses to provide the appropriate comparable results. Reconciliations to reported results have been provided in our earnings release and the appendix of our presentation. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made, based upon management's expectations and beliefs, concerning future events impacting the company and therefore involves a number of uncertainties and risks, including but not limited to those described in our earnings release, our annual report on Form 10-K, and other filings with the SEC. Therefore the actual results of operations and financial conditions of the company could differ materially, from those expressed or implied in our forward-looking statements. Now, I'd like to turn the call over to Berry's, CEO, Tom Salmon.
Tom Salmon: Thank you. Dustin. Welcome everyone and thank you for being with us today. Turning to our key takeaways for the quarter on Slide 4. Our business delivered solid first quarter results including 3% operating EBITDA growth and strong adjusted earnings per share growth of 11%. Throughout the last two years, we have made concentrated investments to gradually pivot our portfolio into higher growth markets and regions. We have a robust pipeline of investment opportunities ahead of us in several areas such as food service, health care dispensing, and pharmaceutical markets, including sustainability focused customer linked projects. Also, we've seen significant cost inflation taken proactive pricing actions, invested in cost reduction projects, and work diligently on cost productivity across all of our businesses. During the quarter, those cost reduction efforts along with a modest easing of inflation helped offset short-term soft market demand across our businesses. Furthermore, we continued our focus on returning capital and repurchased another $178 million of shares outstanding, nearly 3 million shares or 2.4% of total shares outstanding and expect to repurchase at least $600 million of shares in fiscal 2023. Additionally, we've lowered our long-term leverage target to 2.5x to 3.5x net debt to adjusted EBITDA. And finally, we are confident in our ability to sustain earnings growth and have reaffirmed our guidance provided on our last earnings call, which includes an 8% EPS growth target at the midpoint and strong free cash flow generation, which will continue to support our focus on investments for long-term earnings growth along with strong capital returns to shareholders. Turning now to the financial highlights on Slide 5. The December 2022 quarter performance for both earnings per share and EBITDA met our expectations, including strong price cost spread, primarily driven by our cost reduction efforts. These internally driven actions were partially offset by a 6% volume decline, primarily driven by short-term softer market demand, which was in-line with what our global customers have reported. From an earnings perspective, operating EBITDA was up over 3% and adjusted EPS increased 11% from the comparable prior year quarter, including a $55 million benefit from positive price cost spread. As we've demonstrated historic and during the most recent quarter, we remain committed driving cost improvements, passing through inflation, and believe we're well-positioned given our scale along with our ability to service customers from our facilities in close proximity to their location, which provides both cost and sustainability advantages. During the quarter, we've taken additional actions to reduce our cost structure, optimize our assets, and further automate our facility, which will bring our total savings from cost initiatives for the fiscal year to over $100 million. In-line with our long-term strategy to provide strong capital returns to our shareholders, we returned $211 million to shareholders through both share repurchases and dividends in the quarter. Now, before I hand over to Mark, I want to review Slide 6 and what we're focused on in both the near and long-term. We remain focused on driving consistent, dependable, and sustainable organic growth and continue to invest in each of our businesses to build and maintain our world-class low cost manufacturing base with an emphasis on key end markets, which offer greater potential for differentiation and long-term growth, such as healthcare and the pharmaceutical markets. Additionally, we will continue to invest and expand our emerging market position in support of our commitment to global growth. We believe that by increasing our presence in faster growing end market along with continuing to invest in emerging market regions, we will further enhance our ability to provide consistent, dependable, and sustainable long-term growth. We've done a great job since our IPO in 2012 growing our emerging markets from less than 2% to now 15%. Longer-term, we believe our emerging market presence can be 25% or more of our total revenues. And lastly, innovation and sustainability are increasingly embedded in everything we do and we continue to believe this represents a great opportunity for growth and differentiation. These drivers when combined with our ability to deliver continual cost improvements by leveraging our scale advantages and capabilities give us the confidence we will continue to consistently deliver solid earnings growth from our stable portfolio of businesses. Now, I'll turn the call over to Mark, who will review Berry’s financial results. Mark?
Mark Miles: Thank you, Tom. I would like to refer everyone to Slide 7 for our quarterly performance by each of our four operating segments. Our businesses continue to perform well and focus on inflation recovery, and generating cost productivity, while driving long-term sustainable revenue and earnings growth. Our Consumer Packaging International division reported modestly lower revenue dollars, primarily driven by softer demand from our customers, partially offset by higher pricing from the pass-through of inflation. Demand was relatively stable across our consumer facing categories such as retail food and beverage with weaker overall customer demand in discretionary markets such as automotive and surface coatings. And the outbreak of COVID in China also negatively impacted volumes and earnings in the quarter. Operating EBITDA was essentially flat as positive price cost spread offset softer customer demand. The positive price cost spread was driven by cost productivity, inflation recovery, and our focused effort to improve our product mix by increasing our presence in healthcare packaging, pharmaceutical devices, and dispensing systems. We continue to recover cost inflation through pricing actions and cost reduction initiatives while driving revenue growth from our sustainability leadership. Next, on Slide 8, revenue in our Consumer Packaging North America division was down 10% from the prior year quarter from lower selling prices as a result of the pass-through of lower resin costs in the U.S. and softer overall customer demand, primarily in our industrial markets. We continue to deliver strong growth in our food service market as we continue to see conversion from other substrates to our clear polypropylene cup. We continue to add incremental supply for cups, including an additional manufacturing location for this technology as demand continues to outpace supply. Operating EBITDA increased by an impressive 23% over the prior year quarter, primarily driven by our internal cost reduction efforts along with continued inflation recovery and improved product mix.  And on Slide 9, revenue in our Engineered Materials division was down 15% for the quarter, due primarily to volume declines in lower selling prices from the path to a lower resin cost. The volume decline was related to soft overall customer demand, including our European industrial markets. Volumes were also impacted by our focused effort to mix up in certain categories like [shrink and transportation zones] [ph], along with customer destocking as supply chains normalize. Operating EBITDA was up an impressive 15% over the prior year quarter, primarily from our focused effort on improving sales mix and higher value product categories and internal cost reduction efforts. On Slide 10, revenue in our Health, Hygiene, and Specialties division was down 17% due to volume declines along with lower selling prices in the past curve of lower resin costs. We continue to see stable demand inside our hygiene markets, while portions of our business continue to see ongoing inventory destocking along with softer demand in our specialties markets such as building and construction. Operating EBITDA was down 21% for the quarter as expected due to a timing lag in recovering inflation on costs other than polymer. We continue to pass-through these cost increases to our customers and expect earnings will improve sequentially. Next, our fiscal 2023 guidance and assumptions are shown on Slide 11. Today, we are reaffirming our guidance for both adjusted EPS and free cash flow. We have a strong track record of EPS growth, improving every single year as a public company and continue to expect between $7.30 to $7.80 of adjusted earnings per share, which at the midpoint would be another fiscal year record and our tenth consecutive year of delivering EPS growth. Additionally, we expect free cash flow to be in the range of $800 million to $900 million with cash from operations of $1.4 billion to $1.5 billion [less] [ph] capital expenditures of $600 million. Our cash flow year-in and year-out has been a dependable core strength and core value of our company. It provides us the opportunity to invest in our businesses to grow and become more efficient by returning capital to shareholders. As you can see on Slide 12, our capital allocation strategy is a return-based and includes continued investment in organic growth and cost reduction projects, share repurchases, debt repayment, and a growing quarterly cash dividend. In fiscal 2023, we expect to return $700 million or more to shareholders via share repurchases and dividends, including further reducing our shares outstanding by 8% at current valuation levels. During the quarter, we repurchased another $178 million of shares or 2.4% of shares outstanding and paid our first quarterly dividend, thus returning $211 million back to shareholders in the first fiscal quarter. As Tom mentioned earlier, given our strong dependable cash flows and earnings, we have moved our long-term leverage range down to 2.5x to 3.5x as we continue to focus on driving long-term value for our shareholders. We believe we are well-positioned for continued value creation through both our resilient business model and strategic portfolio management opportunities. This concludes my financial review, and I'll turn back to Tom.
Tom Salmon: Thank you, Mark. Our business model has proved resilient, including a broad portfolio of polymer-based packaging solutions with strong dependent on stable cash flows to allow us the flexibility to drive strong returns for our shareholders. Our in-house design centers footprint and build to serve local and regional customers and markets all while being both a top 5 global toolmaker and the top 5 recycler in Europe provides us with scale advantages and differentiation capabilities unmatched by our competitors. While the demand environment has remained choppy, we've been able to offset softer customer demand with stronger price recovery and productivity improvements. From our current viewpoint, we believe our industrial markets will be in-line with our global customers demand and remain challenged throughout much of fiscal 2023. We will focus our internal cost reduction efforts and inflation recovery, while also driving strong cost benefits through efficiencies and asset optimization throughout our global footprint to offset any demand challenges. We believe very stable and dependable portfolio will allow us the ability to provide earnings growth and demand stability as we had historically demonstrated. As you can see on Slide 13, we have consistently driven top-tier results in nearly all key financial metrics, including strong compounded annual growth rate for revenue, earnings, and free cash flow, including growing our adjusted earnings per share every year as a publicly traded company. The targets we've settled over the past several years, including our focus on driving shareholder value continues to be our top priority. Starting several years ago, in each of our four segments, we began investing more heavily in growth with the emphasis in faster growing markets and regions, while working to improve the mix of our product portfolio. As you can see on Slide 14, we delivered results at or above the peer average from these strategies and commitments. Historically, we have used the majority of our cash to reduce our debt and improve our balance sheet post an attractive acquisition opportunity. Now, we've chosen to make a concerted effort to keep our leverage in a lower range, providing us the opportunity to return the majority of our cash to shareholders via share repurchases and now similar to our peers, initiated a quarterly dividend. We believe our new long-term leverage range of 2.5x to 3.5x will further strengthen our balance sheet and be rewarded in the equity market over time and believe these strategies will continue to close our valuation gap, which provides a very attractive opportunity for investment. Next on Slide 15. Since the RPC acquisition in mid-2019, over the past three years and including our expected use of cash in fiscal 2023, we've reduced our net debt by nearly $3 billion. Furthermore, in fiscal 2022 and fiscal 2023, we will have returned over $1.3 billion to shareholders via share repurchases, while also paying our first ever quarterly dividend. These uses of cash from debt reduction, share repurchases and dividends will total $4.3 billion of value returned to shareholders while growing our adjusted earnings per share more than 70% since the RPC acquisition. We believe our cap return model underscores our commitment to enhancing long-term value for our stakeholders and the stability and consistency of our portfolio. The RPC acquisition has provided substantial cost and revenue synergies over the past several years, and we believe there are additional attractive opportunities ahead. The ability to leverage our combined know-how include sustainability and innovation, product development and technology has created significant value for shareholders. On Slide 16, we're excited to announce a new international Center of Excellence and Circular Innovation Hub that will be located in Barcelona, Spain. This new location is designed to foster our One Berry spirit and demonstrates Berry's commitment to global growth, sustainability and talent development. Several locations were considered for the new center with Barcelona being the preferred option, due to high scoring and international talent, sustainability, diversity, and economic indicators. Barcelona was elected recently as one of the best cities to live in the world. This new innovation hub will house an interactive and learning customer experience center, a showpiece for various designs and innovation capabilities and be a focal point for circularity sustainability underlining how Berry's products are part the solution in achieving a net zero economy. Furthermore, as you can see on Slide 17, through our strategic customer linked investments, innovation and sustainability have been a strong part of our value creation. We believe we are well-positioned to deliver significant value for our customers and shareholders through investments like these recent innovations presented here with an unmatched global footprint and design capability to support circularity. We're proud to highlight a few recent innovations, starting with Berry’s SuperLock container that provides healthy spreads with an innovative and reusable packaging solutions, combining improved imaging and longer shelf life. Next, as you might have seen in a recent press release, I'm pleased to announce our collaboration with Coca-Cola to provide tethered caps in the European Union markets. Berry was recently given a Prestigious Sustainability Award at PACK EXPO International for this circular solution. We became the first plastic packaging manufacturer in Europe to supply the Coca-Cola company with a lightweight tethered closure for its carbonated soft drinks in PET bottles. The new tethered closure for Coca-Cola is designed to remain intact with the model, make it less likely to be littered and more likely to be recycled. And finally, we worked together with a leading German dairy customer, Milchwerke Schwaben and met their sustainability needs and goals by providing 19% weight reduced product offering, while at the same time providing smart logistics and efficiency improvements for their filling lines. Innovation and sustainability are core strength of Berry. We have leading R&D and material science capabilities and considerable expertise. When coupled with our unmatched scale and geographic reach, these capabilities provide unique ongoing opportunities to develop differentiated products to meet the needs of our global customers. Next, on Slide 18. I want to discuss the key investment highlights for Berry long with our long-term targets for our key metrics. We are a global leader across several manufacturing platforms with extensive innovation technologies and [indiscernible] capabilities. With our more than 255 locations around the world, our scale benefits from both procurement and proximity to our customers, provide us with a low-cost platform, providing products to the largest CPG customers in our primarily stable non-discretionary market. We have a proven history of earnings growth, as shown earlier on Slide 13, along with exceptionally stable and consistent set of cash flow businesses. Additionally, we've taken a sustainability leadership role as one of the largest plastic manufacturers in the world, evidenced by a portfolio of products, innovative with our customers and a focus on reducing greenhouse gas emissions supporting a net zero economy. Our long-term targets further evidence the consistency and dependability of our model, which includes operating EBITDA growth of 4% to 6%, EPS growth of 7% to 12%, and total shareholder returns of 10% to 15%. As you can see, over the past three years, we've met or exceeded these long-term growth targets and expect to similarly do so going forward.  Additionally, we expect our newly initiated dividend to grow annually, and we've updated our long-term leverage target to be in the range of 2.5x to 3.5x. We believe we can achieve these similar metrics while operating the business with lower leverage and providing consistent capital returns to shareholders. In summary, our strategic priorities remain unchanged. Our entire global team emphasis on working safely and servicing our customers remains our Number 1 priority and has made us a stronger, better, and safer company. We will continue to operate with agility as we navigate current market dynamics to drive sustainable growth while recapturing inflation. At the same time, we remain focused on executing our long-term strategy of driving shareholder value, expanding our competitive advantages and delivering on our financial priorities to position Berry for long-term success. I'm very pleased with the hard work of our employees, delivering solid results in the face of persistently higher costs and a dynamic global economy. Thank you all for your continued interest in Berry. Now, before we turn to Q&A, I want to note that we announced today that I plan to retire at year-end. As we make the transition throughout 2023, the company remains very well positioned to continue to deliver significant value for all stakeholders. With that, Mark and I will be glad to answer any questions you may have.
Operator: Thank you. [Operator Instructions] First question will come from Ghansham Panjabi with Baird. Your line is open.
Ghansham Panjabi: Hi guys. Good morning. Tom, congrats on your announcement on your retirement. Yes. I guess, first off, on just the volumes down 6% based on your December quarter, it's very, very similar to volumes being reported by the major CPG companies. Do you have a sense as to where we are on the inventory destocking cycle across your core end markets and maybe split that between consumer and also some of the industrial markets as well.
Tom Salmon: Yes. I think certainly from a consumer side, any time there's uncertainty, the prudent measure they take is to reduce the inventory count and they frankly have higher expectations that we can deliver in smaller quantities on a more regular basis. I expect that to continue until there's greater certainty in terms of specific cadence of consumer demand. So, I don't expect that to change dramatically. We are certainly seeing some green shoots. I would describe it as demand improvement, being – in January. And as there's more certainty, the destocking will become less prevalent in people's print, if you will. From an industrial basis, we showcased that we expect industrial demand remain relatively sluggish for a better part of fiscal 2023.
Ghansham Panjabi: Okay. Thank you. And then maybe a question for Mark. On the EBITDA bridge for the first quarter, it looks like price cost was about a $55 million benefit. What are you, sort of embedding for that number for fiscal year 2023 relative to your EBITDA guidance? And I'm just asking because it looks like resin will start to be heading higher, sort of correlating with typical earlier seasonality.
Mark Miles: Sure. Thanks, Ghansham. Yes, I'd say on the price cost side, we have gone into the year thinking of 100 million. We're now feeling better about that number. I think we're thinking of more like 125 million for fiscal 2023, and that's driven by the cost reduction activity that the company has taken action on.
Ghansham Panjabi: Perfect. Thanks so much.
Operator: Thank you. One moment for our next question. [Technical Difficulty] from the line of Anthony Pettinari with Citi. Your line is open.
Anthony Pettinari: Good morning and Tom, congratulations and best wishes on the next chapter. Just following up on Ghansham's question. On the last call, you talked about full-year EBITDA guidance, assuming flat volumes with earnings growth coming from cost recovery and cost reductions. So, the accelerated cost reductions, which I think are now 100 million, should we think about that as maybe offsetting volumes a bit weaker than expected or maybe a weaker-than-expected view on volumes for the fiscal year? And if so, where is that – maybe where is that concentrated along the four segments?
Tom Salmon: Yes. If you consider the operating plan for 2023 primarily incorporate two areas, one cost reduction, other offset inflation with price. And clearly, any type of deviation we see on the demand front, will leverage – will variablize our cost structure to get it done. And I would say, the following. The company is performing on all cylinders right now operationally. We've made in the last three years alone over $250 million in capital improvements to remove over 5 million labor hours from our operations through deploying more automation from an energy efficiency and sustainability perspective, which is a huge component of cost.  We've invested over $100 million to remove over 200 million-kilowatt hours from our operations. So not only are we making the right financial messaging and decision, but we're also doing the right thing for sustainability actually improving what is ultimately the material with the best carbon footprint and making it that much better. And not to mention what we continue to do in terms of safety. And again, safety is our Number 1 priority, but keeping our people safe, keep them in the game, productive inside the site. Those are some of the areas that we've had a heavy focus and – when you think about the scale of our company overall, it can have some really significant benefits. So that's where Mark had quoted that we're estimated to be in the range of plus of $125 million and we've taken the right actions from the investment to get that done and make that happen.
Anthony Pettinari: Okay. That's very helpful. And then just on the updated 2.5 to 3.5 turns leverage target that definitely makes sense. I think in the slides, there's a reference to 2023 leverage potentially staying at 3.7x, which is, I guess, unchanged from last year. Understanding it's not too far from your target range, but I'm just wondering if you talk about debt paydown versus repurchases as, sort of a priority for 2023 and how you balance those?
Tom Salmon: It's a great question. We anticipate being within that target range at the end of fiscal 2024. And the reason is that the compelling opportunity to repurchase our shares right now, given the dislocation in our valuation takes precedent, we believe it is an unmatched opportunity for us. So, we're going to continue to focus on buying back our shares as part of our capital allocation program in 2023. And certainly, as we see improvement in the valuation of those shares, we can ultimately pivot further to debt reduction. But again, we believe we'll be in that range by the end of fiscal 2024.
Mark Miles: Yes. I think Anthony, I mean the stability and just quantum of cash that we generate and the earnings growth of the business, we can do all three. We can continue to grow our dividends. We can buy back a substantial portion of shares and repay debt. So, I think we have a great opportunity to do all three.
Tom Salmon: I think, Anthony, one of the enablers is, we're starting to see some improvement in the financing markets out there. We clearly have showcased that we have opportunities inside our portfolio to perhaps look at businesses that are better suited for other operations. As such, that should get easier to do as the financing markets improve, and we expect that to be a big component of our energy and focus here throughout 2023 and beyond. A big opportunity for a portfolio of our size. And that clearly allows us then to pivot some of those proceeds to the capital allocation wheel that we've built, if you will.
Anthony Pettinari: Okay. That's very helpful. I'll turn it over.
Operator: Thank you. One moment for our next question. That will come from the line of Kieran De Brun with Mizuho. Your line is open.
Kieran De Brun: Hi, good morning. Maybe just a follow up on the capital allocation. When we think past 2023 into 2024, like, how do you think about M&A now fitting into, kind of your longer-term growth strategy? And where are the areas where you'd like to, kind of see that focus, I think, going forward? I mean, should we be thinking about that more focused on the circularity side of things, which seems to be a big opportunity or any thoughts on that front would be helpful? Thank you.
Tom Salmon: Yes. Berry is in a unique spot right now. There's no large-scale acquisitions that we have to do to create scale. The real focus is on how we ultimately utilize bolt-on acquisitions as a means to accentuate organic growth. We clearly believe that some of the more attractive markets that we've articulated in the past, like health care, pharmaceutical dispensing solutions, sustainability solutions are all right not to mention, at least of which in – growing our access to emerging markets. So, while we just recently announced a greenfield site in Bangalore, clearly, at some point, it will provide the opportunity for bolt-ons to complement that health care and pharmaceutical [sites] [ph] to take advantage of that growth. And again, all that can be supported by – as we look – as I just mentioned, we look inside our own portfolio, having opportunities to dispose of pieces of that – of the portfolio today that could be better utilized by others can allow us to deploy some of those proceeds against those objectives. That's why, as Mark said, it's a balanced approach. We really believe we can operate the company at a lower leverage range, we can continue our balanced capital allocation between buybacks and dividends, and we continue to invest in organic growth to reaffirm our commitment as growth as a priority for us.
Kieran De Brun: Great. Thank you. And then just maybe a quick follow-up on China specifically, I mean it seems like the rebound in China has been gradual throughout the first quarter. I'm just curious on your thoughts on what you're seeing? Are you seeing kind of that acceleration post the Chinese Lunar New Year? Is it something that you still expect to, kind of gradually increase throughout the year and how that impacts your volume outlook for the fiscal second quarter and the back half of the year?
Tom Salmon: China is a relatively small part of our portfolio overall. That said, there was some impact relative to the COVID-related shutdowns. But as those normalize inside China, I think it will provide a steadier, more consistent [indiscernible] path for growth in the coming quarters. So, that would certainly be a tailwind for sure.
Kieran De Brun: Great. Thank you.
Operator: Thank you. One moment for our next question. And that will come – George Staphos with Bank of America. Your line is open.
George Staphos: Thanks very much. Hi, everyone, good morning. Thanks for all the details, and Tom, I'll echo everyone else's comments. Congratulations to you. Company's evolved significantly over your time. So, congratulations on that. A couple of questions. The first on targets and then the last on price cost. So, in terms of the targets, you talked again to the deleveraging target now being 2.5x to 3.5x, we certainly would agree with that view. In your view, what changed most in terms of why this is the right target now? Is it where Berry is mature to in terms of you don't need to do acquisitions anymore to continue the growth? Is it cost of capital you see being applied to companies with higher leverage? Was there anything that changed in your view in terms of why this is now the better place to be. Relatedly, you mentioned a number of targets on Slide 18, and that's terrific. I don't see a return on capital target. Will you expect to have one in the near future? And do you have a view in mind in terms of what recurring capital growth could be over the next several years?
Tom Salmon: No doubt, George, we're maturing as a company. We've doubled in size in a relatively short amount of time. As Mark mentioned, the robustness of our cash flow gives us an amazing amount of flexibility. And we're fortunate that the company has grown to the point that scale is not the predominant focus for us. What is the prominent focus on is our – how we ultimately can add pieces to the portfolio that accentuate our global growth and then allow us to scale those given our global market presence. That's the real driver relative to the larger target or the lower leverage range. And again, it also is consistent with some shareholder feedback that we've received as well in terms of the driver.
Mark Miles: On the return of capital, George, I mean we've – our return of capital over the last several years has been around 14% as a company. That's pretax. As we look for incremental investments, we tend to target something north of that. So, we're looking to obviously, to grow that number, but I don't think 14% plus is a bad way to think about it because obviously, that number includes a lot of different things, including acquisitions that were larger in size, and therefore, it just naturally had a little bit lower return on capital on them. So, I think 14% is a good spot overall for the company, but on incremental investments, I think we can drive to 20%.
George Staphos: Thanks to that Mark. And then the other question, kind of near term or more micro, so your other segments, other than HH&S did a real good job on price cost. Again, congratulations to you on that in the quarter. You mentioned HH&S was a lag. But was there anything else going on that made it a more difficult price cost period? And when do you expect HH&S to be positive on price/cost over the course of this year? Thank you and good luck in the quarter.
Mark Miles: Yes. I think on your first part of your question, relative to what impacted the quarter, mix certainly was a factor, as we mentioned, some of our more specialty product categories that carry a little higher margin negatively impacting the results. So, as those markets improve over the course of the year, I would expect that component of the relationship to get better.  We've also got, as mentioned in the prepared comments, incremental price impacting that business ongoing over the course of the next several quarters. So, I think we're going to continue to make progress. I think as to when we go to positive outside of something changing relative to inflation, we would expect the back half of 2023 to inflect a positive.
Tom Salmon: And George, the hygiene piece of that business continues to be very stable. Some of those niche spaces that ultimately, there were some discretion areas like dryer sheet, filtration, house wrap. These are all really very solid franchises and any improvement in terms of customer outlook or demand or customer confidence is only going to benefit those businesses. So, as Mark said, we'll see sequential improvements as contracts are renewed and implanted.
George Staphos: Thank you very much.
Operator: Thank you. One moment for our next question. Will come from the line of Phil Ng with Jefferies. Your line is open.
Phil Ng: Hi Tom, thanks for all the help over the years, and you'll certainly be missed. So, we really appreciate. I guess, first off, how do you guys see volumes tracking this year by segment? Is flat volume still a realistic goal at this point? And do you kind of see the declines in volumes in 2Q being less bad and potentially inflecting in the back half? Like how should we think about the progression this year?
Tom Salmon: I'll first start by saying that the demand that we're seeing is pretty consistent with our customers around the world, frankly. And for the print we had in the quarter, I think we fared really quite well in that regard based on some of the other peer reports that are out there. That said, certainly, would anticipate the front half being softer than the back half, but as we've demonstrated, we've got plenty of irons in the fire that should that not materialize. We can further variabilize our cost structure as the team's done. And again, I'm really excited that these investments that have been concentrated and they have been made over the last several years put us in a really good position going forward, both in terms of soft demand, as well as enhanced productivity and profitability as demands ramp. So, all pieces of that puzzle, difficult to ultimately call it exactly. But again, our performance is very consistent with our customer base, which we would expect.
Phil Ng: Got you. And I guess, a question for Mark. I think you called out 125 million of price cost this year, so up 25 million. Is that largely from like self-help productivity stuff? And how are you thinking about just your inputs, whether it's resin from here? Maybe some of your non-resin cost profile, are you seeing any deflation there that could be potentially a good guy and provide some upside to that number?
Mark Miles: Sure. Yes. I would say – I think Tom mentioned the breakout, but 100 million of that, you know 125 million is on the cost side. Obviously, our largest cost is material. So, anything we can do to drive down material costs our sourcing and operations teams are working diligently to cross – across approved different products to generate cost savings. We've got a long pipeline of cost reduction projects. Tom mentioned some of the labor is our next largest cost category. We've got a lot of great productivity improvement initiatives, including investments in automation that are driving reductions in our labor costs. So, as Tom said, we've got a number of levers we can pull, obviously, focusing on the largest cost categories of material and labor generate the largest savings, but certainly, energy falls right behind that. And we've got a lot of initiatives across the company to reduce our energy usage.
Tom Salmon: And as Mark said, resin being the biggest part of it, I mentioned that teams are – and operationally are working at a very high level right now. Just to give you a sense, since 2020 alone, we've seen an over 20% improvement in our net yield across our sites being generating that type of efficiency. So, you're reducing your scrap, you're generating more efficiency across your operations, and that provides, as I said, a near-term benefit, as well as a long-term opportunity as your volumes continue to grow and ramp.
Phil Ng : Okay. Thank you. Appreciate the color.
Operator: Thank you. One moment for our next question. [Technical Difficulty] of Angel Castillo with Morgan Stanley. Your line is open.
Angel Castillo: Hi, thanks for taking my question and Tom, again, congratulations on your retirement. So, just a quick question on the long-term targets. I wanted to – I was hoping we could break those down a little bit more and give us a little bit more color as to how you're seeing, particularly as we think about, for instance, the EBITDA growth of 4% to 6%, how are you thinking about that in terms of the sales breakdown, how much of that is organic versus inorganic potential bolt-on opportunities? And then beyond that, how much would it be, kind of EBITDA or margin expansion? And then lastly, kind of on the EPS line, how are you kind of breaking that down in terms of underlying growth and buybacks?
Mark Miles: Sure. I think in the aggregate, we think our business has grown in the low single-digit range. We've got a lot of focused effort to as we talked about in the prepared comments and have now for many quarters, pivoting to higher-growth markets. So, certainly, over time, we're looking for a higher result, but at the moment, our current mix of business support low single-digit growth on the volume side, which we can again deliver something higher than that on EBITDA as we get the benefit of leverage on our fixed costs, as well as mix improvement opportunities. So, bolt-on acquisitions, how to predict those year-to-year, I think, is very difficult. Obviously, it depends on market conditions and sellers in the market at a price that's attractive to the company that meets our return thresholds, et cetera, et cetera. So, those targets are meant to be long-term targets, you know year-to-year, the contribution of bolt-on acquisitions is going to vary, could be higher in one year and lower in another. But again, that low single-digit volume growth should provide something incremental on the EBITDA side supplemented by acquisitions.
Angel Castillo: And then on the EPS side, curious kind of longer term, how are you thinking about if it's just kind of 4% to 6%, is the rest more buybacks or anything else we should be mindful of there?
Mark Miles: Yes, same thing. Yes, the market is going to provide us with different opportunities at different times. Right now, our share price is very attractive. And so, it's providing us very great investment opportunity that we're taking advantage of, and that's bolstering our EPS results, certainly. But depending on the situations and what the market provides us, we'll be able to respond accordingly to drive at those results.
Angel Castillo: Got it. That's helpful. And then just lastly on the destocking question earlier, you mentioned seeing some green shoots in January. Could you give us a little bit of color as to what you're seeing or hearing from your customers, maybe what those green shoots might be? And how are those kind of conversations with customers evolving? It sounds like frequency and size of orders maybe changes a little bit, but just any incremental color would be helpful?
Tom Salmon: Yes. It's not an uncommon strategic path that's been taken whenever there's uncertainty in demand. They take their inventories down. And ultimately, it requires us to be more agile relative to meeting peaks and valleys relative to that demand. We'd expect that to continue to play out here in the coming months with an improvement as we get into the back half of our fiscal year. We're in regular conversation with our customers and have as much visibility to that consumer demand is possible, but it's changing, and it's evolving. And they're learning what that means in terms of their order patterns and what type of inventory levels they need to meet that demand. So, we'll be flexible with them. While that gets worked out. Nonetheless, we'll be in a really good position given the proximity of our plants to their locations to meet their needs as expeditiously as possible. But we feel very good, though, that as part of those discussions, the pipeline of opportunity that we have from a growth perspective continues to be very, very robust. You heard Mark mention in some of his commentary relative to the success and advancements that we're seeing inside of foodservice with additional investment for point to meet demand that continues to be incredibly robust certainly in North America with our quick serve focus on carryout with our all polypropylene cup and lid. And growing in Europe is around reusable cups that are ultimately being marketed by some of the largest QSRs in the world, and they're very participating in the creation of those programs, the execution of those programs as well. So, lots going on in the pipeline, a lot of compelling reasons for us to continue our targeted investments to lock our customers to support growth as we work through this choppiness in demand.
Angel Castillo: Okay, helpful. Thank you.
Operator: Thank you. One moment for our next question. And it will come from the line of Kyle White with Deutsche Bank. Your line is open.
Kyle White: Hi, good morning. Thanks for taking the question. How are you thinking about your portfolio of assets here? Obviously, you're improving the mix in Engineered Materials. You have the newly established capital allocation community, is there any more pruning to be done? And where do you see the most opportunity for optimization within the portfolio?
Tom Salmon: Yes. We're a diverse portfolio of businesses around the globe. As we shared on previous calls, it's a priority, key area of concentration by our Board relative to the opportunities to dispose of certain assets and then redeploy those proceeds towards opportunities that can support our growth or other capital allocation needs. That continues to be front and center for our teams and for our Board. We disposed of three businesses in fiscal 2022. I'd expect that to be as financial markets begin to improve, and we are seeing some of that. I think it's going to create an opportunity for greater velocity in those types of dispositions that will continue to be an area of concentration and focus for us. Again, all these ultimately allow us then to take those proceeds, redeploy them against our capital allocation wheel based on what's going to maximize shareholder value.
Kyle White: Got it. And then on Engineered Materials, where are we at in the purposeful shedding of the lower margin business as you improve the mix there? How many more quarters should we expect to see these actions impacting top line, but obviously improving returns?
Tom Salmon: Yes, the business has done a fantastic job in a hyperinflationary market offsetting that inflation with price, as well as enhancing their mix of business, which did two things. One, that was already supported by capital investments and then the opportunity to further support it throughout this inflationary period curates a nicer mix of business inside EM. Same thing as the year plays out, I think you'll see more of the same in the front half of the year an improvement towards the back half of the year. And no different as we see the consumer and the industrial networks start to improve, they'll similarly benefit from that.
Kyle White: Got it. I’ll turn it over. Thank you.
Operator: Thank you. One moment for our next question. [Technical Difficulty] from the line of Arun Viswanathan with RBC Capital Markets. Your line is open.
Arun Viswanathan: Great. Thanks for taking my question. Congratulations on the retirement announcement, Tom. So, I just wanted to, I guess ask a couple of questions. So, you provided some long-term targets, the 4% to 6% EBITDA growth and the 7% to 12% EPS growth. Just wondering if we do need to see organic growth in the low single-digit level, to achieve that kind of operating leverage. I know it's been a little bit of a challenging environment the last couple of years, and there's been some [calling of business] [ph] and inflation and so on.  So, assuming that the environment kind of stays a little bit challenging for the next 12 months to 24 months, would you still be able to achieve that kind of growth in, say, a flat volume environment or what are some of the levers you have to still hit those long-term targets in a maybe more sluggish environment?
Mark Miles: Yes. I mean unfortunately, right, you're seeing that right now with weaker demand, and we're delivering on those commitments. So, obviously, when the market is weaker, it gives us more opportunity on the material side, to do exactly what we're doing is executing on optimizing our costs on materials. And so, while we would certainly rather get there through incremental volume, we're certainly in a good spot that we think we can drive positive results even in a weaker economic backdrop.
Arun Viswanathan: Okay. Thanks Mark and then just on the – on some of the outlook items on free cash flow. So, assuming that you delivered the 800 million to 900 million in fiscal 2023, how do you expect – how should that evolve in 2024 and 2025, I mean maybe you expect a little bit greater free cash flow growth from here going forward just given the potential pivot in the strategy to less M&A and more internal focus, would that help working capital and potentially accelerate your free cash conversion. Just wondering if that algorithm has changed as well. Thanks.
Mark Miles: Yes. Look, we're always trying to improve our results. Obviously, there's a number of different things that can impact it. Yes, certainly, earnings and cash are ultimately the same thing outside of changes in working capital. So, we gave earnings target goals, and we're looking to continue to achieve those.
Arun Viswanathan: If I can just ask one more quick one. So, just on the strategy now for the 2.5x to 3.5x leverage, are you effectively saying – and you made the point that you're not necessarily looking for scale from here on. So, are you effectively saying that there aren't as many attractive consolidation opportunities in the market anymore, and you can deliver better growth by investing organically. I would still think that there's potentially some scale advantages on the procurement side that you could read from potential acquisitions, but has that changed as well? Thanks.
Tom Salmon: It has not changed at all. The market still remains fragmented, still presents an opportunity. But for our portfolio, and again, given the number of acquisitions we've done, we understand where we have scale and it's significant in certain pockets. As such, we feel very comfortable that the right approach for us is targeted bolt-on acquisitions that support our organic growth investments, again to get us access to faster-growing markets, faster-growing geographies, which is consistent with what we've been doing. And we're very bullish because, again, as these financing markets begin to improve, it's going to facilitate more of those dispositions and opportunities. And like we said, for us, we've got a circle. And it presides a number of opportunities and one of those is, the opportunity to look internally at our own portfolio, find opportunities to market those externally, use proceeds then to support our various capital allocation needs that maximize shareholder return.
Arun Viswanathan: Thanks.
Operator: One moment for our next question. Will come from the line of Michael Roxland with Truist. Your line is open.
Michael Roxland: Thanks Tom, Mark and Dustin. And Tom let's reiterate what everybody else said, congrats on your retire now. Just wanted to get a little more color around potential dispositions. I know you've spoken about it a number of times in response to some of the other analysts, but would they be focused on some more of the cyclical elements in your portfolio, maybe looking at your industrial exposure, your automotive service companies that you've highlighted in CPI, maybe in some of the more of those industrial elements in CPNA in order to make your portfolio maybe less cyclical and more consumer oriented?
Tom Salmon: Yes. I think, frankly, it's a pretty fair characterization that, you know the more we can build up the stable non-discretionary piece of our portfolio, falls in-line with our strategy. And again, we're not going to be specific on which businesses are going to be divested by and when, but I think the premise that you laid out is very accurate. It makes very good sense for us. And again, it just – it further helps build our value add to our customers as we do that.
Michael Roxland: Got it. And just one quickly on HHS, the volume weakness there. I think last quarter, you mentioned that the volume weakness was due to destocking related to COVID benefits, which at that point was fully cycled through. What really occurred this quarter where you saw destocking? And was it more of just, kind of the consumers dialing back their purchases? Or was there some other things other factors driving the volume makes in HHS?
Tom Salmon: Areas like filtration, areas like house wrap, the dryer sheet space as well was modestly destocked in the period, but we don't expect that to be a long-term phenomenon. As I said, these are great franchises inside our HHS portfolio, we expect those to pivot as we see a general improvement in the economy.
Michael Roxland: Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Gabe Hajde with Wells Fargo. Your line is open.
Gabe Hajde: Tom, Mark, Dustin good morning. And I echo everyone else's congrats to you, Tom.
Tom Salmon: Thank you.
Gabe Hajde: I hate to put you on the spot here, Tom, but kind of being obviously in covalence and as part of the organization through the IPO process and just the company's maturation, as the company looks out to search for the next person in charge, where would you expect some of the focus to be within the organization? I mean you talked about, obviously, not looking for scale, being more focused on maybe some bolt-on M&A, something that comes to mind that maybe wasn't a focus or priority for the organization in the past was – I mean I know you guys have done things in the plants to be more efficient, but footprint consolidation and things like that. Maybe someone more want say, operational background. But just any color you can give us on, sort of what that might look like, and perhaps the answer is we're not going to tell you.
Tom Salmon: Well, no, I appreciate the question. Thanks for the kind words. Remember, Berry has a very structured and a long-term planning succession process that we adhere to. We're incredibly fortunate to have fantastic internal candidates to consider for my replacement, which again is until the end of the year. So, you guys are [indiscernible] me for a while. But we also have contracted with Spencer Stuart to also take a look externally as well to make certain that we're making the best, most informed decision. And as we have more information that we can share with you along the way, we'll do so, if appropriate. But that's really all I can say at this stage. The bottom line is, the company is in an amazing spot right now. When you stop to think about the changes that we've made, the catalysts that we have today, it's an exciting time. We articulate on a long-term leverage ratio 2.5x to 3.5x, EBITDA growth of 4% to 6%, a 10% to 15% TSR growth, we've established annual dividend. We're buying back our shares because it's a compelling opportunity. When you consider where we trade versus our peer group, and you contrast that with our results. This is an exciting time. So, this is a great franchise that will be focused on how we take it to the next level and our targeted investments around organic growth, are absolutely paying dividends that as you can see in the investor deck in terms of how we've been trending versus our peer group since 2019, the story around Berry and Berry's growth, it's addressed in that slide. We're in-line with our peer group right now and you couple that with our scale, our geographic footprint, our leadership position in sustainability, we're in a great spot, Gabe. I'm proud to be part of this team. I'm proud of what the team is doing and whoever has the opportunity to take this seat is in a great spot to take the company to the next level. So, we're in a great place.
Gabe Hajde: Thank you very much.
Operator: One moment for our next question. [Technical Difficulty] will come from the line of Josh Spector with UBS. Your line is open.
Josh Spector: Hey guys. Thanks for squeezing me in and I echo my congrats, Tom. So, I wanted to ask on Consumer International. If I look at, when you first bought that business, first 12 months, it did about 650 million in EBITDA, last 12 months it's done about 650 million in EBITDA. Consensus is forecasting that same level for this year. I mean I understand FX probably slightly negative over two years, but you have synergies rolling through, I guess, how much is that business or is that business under earning in your view? And can you help us think about what the normal level of earnings is for that business today? Thank you.
Mark Miles: Yes, it's Mark. So, yes, I didn't exactly follow on your numbers, but I would say the other thing that you got to consider is divestitures. The divestitures that Tom mentioned were in that business. It has grown its EBITDA, and we think it will continue to be able to deliver that. We've got a lot of great opportunities. Tom mentioned some of the investments that we're making in that business, health care, dispensing solutions, pharmaceutical devices continue to be areas of opportunity. And we've also got the growth dynamics in India, China, et cetera. So, we think that business can – we're doing the right things. Pete is doing a great job, and we're opportunistic about the future of that business.
Josh Spector: Okay. Thank you.
Operator: I'm showing no further questions in the queue at this time. I would now like to turn the call back over to management for any closing remarks.
Tom Salmon: Thanks, everybody, for your time and attention today. We appreciate your interest in Berry. We look forward to seeing you all and hearing from you on the next call. Thank you.
Operator: Thank you all for participating in today's call. This concludes today's program. You may now disconnect.